Leonardo Karam: Good afternoon. Welcome to Usiminas conference call in which we will discuss the results for the fourth quarter and full 2025. I'm Leonardo Karam, IR Director at Usiminas. [Operator Instructions] This conference call is being recorded and simultaneously broadcast on the Usiminas YouTube channel. Please note that this conference call is intended exclusively for investors and market analysts. We kindly ask you to identify yourself so that your question can be addressed. We also request that any questions from journalists be directed to Usiminas Media Relations at the email, imprensa@usiminas.com. Before proceeding, we would like to clarify that any statements made during this conference call regarding the company's business outlook as well as projections and operational and financial targets regarding its growth potential are forward-looking statements based on the management's expectations regarding the future of Usiminas. These expectations are highly dependent on the performance of the steel industry, the economic situation of the country and the conditions of international markets and therefore, subject to change. Joining us are CEO, Marcelo Chara; the VP of Finance and IR, Diego Garcia; and Commercial Vice President, Miguel Homes. Initially, Marcelo will make some opening remarks, then Diego will present the results. After that, the questions submitted through the Q&A session will be answered. I will now turn the floor over to Marcelo. Marcelo, you have the floor.
Marcelo Chara: Well, thank you, Leonardo. Ladies and gentlemen, a very good afternoon to all of you. It's a pleasure to be here with you to share the results of Q4 and the full year of 2025. 2025 was a challenging year for Usiminas and for all the steel Brazilian industry. And once again, the opportunity of growth and generating income and jobs was compromised due to unfair import of steel and these were manufactured products. In 2025, we reached an adjusted consolidated EBITDA of BRL 2 billion with a growth of 24% vis-a-vis 2024 and a margin of 8%. One of the main drivers to improve the result was the cost drop of the steel units totaling minus 5% of cost to sale per ton. This was more than offset the lower net revenue per ton that was 4%. In Minera��o, the highlights were a record volume of sales of iron ore totaling 9.6 million tons, a high of 14% vis-a-vis 2024 and quality discounts that allowed us to attain better results the first quarter of [ 2023 ]. In the steel unit, the company projects stable steel unit sales. And in the domestic market, connected to seasonality, we expect a recovery of net revenue per ton, driven mainly by a sales mix that is more noble and higher prices. On the other side, the cost per ton will increase, reflecting the most favorable mix. And with this, we project EBITDA margins above the last quarter. Now in the mining unit, the expectation is of lower sales volumes due to the seasonality of the rainy season and prioritizing better -- areas of better profit. The prospect of the economic scenario is moderate for 2026, sustained by a gradual growth of 1.8% of the GDP presented in the focus report. Within this context, the expectation of the steel Brazil industry is increased, but this growth will be totally absorbed by the expected growth of imports of 4%. If this is not -- if we don't have effective measures of commercial defense against unloyal competition, the import volumes in the steel chain have been investigated and confer the urgency to be implemented fast. The government has reacted as we can see in the recent antidumping rights and to elevate the tariffs by 9%. Now we manifest our recognition by the serious technical work by the Ministry of Industry and Commerce in the analysis of the commercial lawsuits. This is important to foster more competitive value, Usiminas is prepared to capture the opportunities of this new context, meeting the ever-growing demand of its customers. At the same time, as we maintain attention to the market in order to curtail the possibilities of not following this that are result of an over surplus of Chinese steel in the international markets, and this impacts the national industry. Our internal agenda for 2026 will be focused on reducing costs, efficiency in our industrial operations and strong financial discipline and strong environmental discipline. It will be important to ramp up our priority CapEx like the PCI plant, the Coke batteries repair and the new Gasometer. These projects will reassure the sustainable growth and the competitiveness of Usiminas at the long run. We would also like to thank all of our employees for their effort, their engagement as well as our suppliers, clients, shareholders and the community for the trust and for the sound relationship that we built throughout the year. And we are confident that 2026 will be a very good year. Thank you very much. Diego, you may proceed.
Diego Garcia: Good afternoon to everyone. These are the highlights of the year. Our steel sales throughout the year was 4.4 million tons. It was the second greatest in the past 10 years, the growth of export and the volumes in the domestic market will remain stable. The Mining Unit presented production [ in ] a record sales. The adjusted EBITDA was BRL 2 billion, a strong growth of 46% in mining and 16% in steel unit. The free cash flow of BRL 1 billion reflect the EBITDA generation, working capital in BRL 838 million, partially offset by the CapEx of BRL 1.2 billion. The year ends with a net cash of BRL 444 million, the result of the flow of free cash flow and depreciation of the BRL vis-a-vis the [ doctor ]. Now we had BRL 1.4 billion in net debt. Now our next slide. Now the net revenue was BRL 6.2 billion, a growth of 6.5% vis-a-vis the past quarter, mainly because of the reduction in the steel unit we registered the lowest price per ton. Now this effect was partially offset by 4% increase in the mining unit and by higher prices, although there was a slight drop, this wasn't affected. The EBITDA was slightly before the past quarter. Now we had BRL 2.9 billion that was affected by the impairment of the past quarter. Now the fourth quarter ended with a profit of BRL 129 million. Now let's go to the next slide. In the steel unit, the annual volume and sales was robust and there was a growth in export. The sales volume with a quarterly basis dropped 2%. It was 3.3% in terms of drop in the domestic market, but aligned with Q4, showing us the seasonality, the net revenue reflects the drop in the net revenue per ton because of the import. We have a less favorable mix during Q4. EBITDA improved with the improvement of cost, although we were in an environment of unfavorable price, the deterioration of the net revenue per ton impacted the EBITDA by 26% when we compare it to the past quarter. The adjusted EBITDA was negatively impacted by a less favorable sales mix with products of lower margin. The gain of the CPV of steel maybe due to lower prices of raw material, partially offset this impact. In addition, during Q3, there was an extraordinary sales of fixed assets that wasn't repeated during the fourth quarter. In mining, last year, we ended with a record sales volume and production. As a result, the annual net revenue increased 27%. Although there were lower price, the net revenue per ton reflects lower discounts due to penalty and exchange rate due to the average exchange rate throughout the year, higher by 3% and the plates references dropped $7 per ton analyzing the profitability of the business. The EBITDA per ton dollar increased 2%, although there was negative pressure. Throughout the quarter, the sales volume presented a slight drop of 2%. Despite this, the total net revenue increased 4%. This reflected better prices in the quarter. And here, we had $4 in terms of the price of reference. When we see the revenue, EBITDA dollar increased $4 per ton aligned with the reference prices. Now our financial indicators. The operational -- net operational cash flow was BRL 1.1 billion of an EBITDA of BRL [ 470 ] million, a reduction of working capital of BRL 576 million. The working capital variation was because of a drop in accounts receivable and an increased accounts payable, BRL 192 million. The CapEx was BRL 372 million, and we reached BRL 1.2 billion in the line, aligned with the guidance between BRL 1.2 billion and BRL 1.4 billion. This way, the free cash flow of the quarter was BRL 744 million. Throughout the year, the free cash flow was BRL 989 million, mainly reflecting the EBITDA generation and working capital that we mentioned beforehand it was partially offset by the CapEx of BRL 1.2 billion. Now throughout the quarter, we went from a net debt of BRL 327 million to a free cash of BRL 444 million, reflecting the free cash flow of BRL 744 million that we already mentioned. The gross debt increased around BRL 6 million due to the appreciation of the dollar. Now throughout the year, there was a significant drop of BRL 1.4 billion in our net debt. This was due to the strong cash generation ending with 0.22x negative leverage. Usiminas ends the year with a sound debt profile with no extraordinary maturities until 2028. Leo?
Leonardo Karam: Thank you, Diego. Now we go to the Q&A session. Marcelo, first question from Gabriel Barra from Citi and Marcio Farid from Goldman Sachs. They want to know about Compactos and Mining. Gabriel says with the changes in the share for MUSA and he wants to know if there is an update of the project Friable for MUSA.
Marcelo Chara: And let's say there have been no changes. Yes, we do have a robust plan in the short, mid- and long-run strategy, and we continue making progress with our licensing program of Compactos. This year, we will have news, and we will see possible instrumentations. And regarding the Friables project, we are constantly reviewing our exploration strategy as well as mines or mining operations, and we created important efficiencies and synergies. And we do -- we believe that the prospects for the short and mid-run will be -- to be continuous in terms of friable material.
Leonardo Karam: Thank you, Marcelo. Well, questions about antidumping. So what are we going to do? There are a number of questions regarding antidumping. I'm going to try to divide them in [indiscernible], the efficiency. Gabriel Barra from Citi, [ Guilherme B ] from XP with the approval of the antidumping, what should we expect for hot rolling mills that will be approved by the end of the year? And Guilherme basically asked the same thing. Will we have a definition regarding this request?
Miguel Angel Camejo: As Marcelo stated, this definition was published yesterday for measures for hot rolling mills and galvanized. As we have reported antidumping actions from China. And finally, the soundness of these cases were confirmed by the definite measures that were published yesterday. We expect the same type of scenario with hot rolling mill and the hot rolling mill according to the preliminary publication. Now the time line would be July this year for a definite measure. We would also like to remind you that this is -- the deadline would be in December. Due to the importance of the measures and the high impact that these imports have in the steel industry in the Brazilian market, we feel reassured that this will be resolved by the middle of this year.
Leonardo Karam: Thank you, Miguel. Our next question from [indiscernible]. Marcelo, in your view, dumpings are valued as of when? And Marcelo, [ Arazi ] wants you to give us details regarding the tariffs that were applied yesterday, what kind of consequences can we expect from here on?
Marcelo Chara: Now the measure is valid as of the publication and the measure for cold rolling mill is -- now for the coils would be as of the day of the publication and also we expect it to be next week. The impact will be positive for the industry and the market. When we see the imports from China, these 2 products, they exceed 1.5 million tons during the past 12 months. And in this sense, we would have greater possibilities to sell to the local industry, and Usiminas will be prepared to cater part of this market.
Leonardo Karam: Now any concern regarding ways of not complying with this measure. Well, we want to know how to evaluate the risk of triangulation of import volume because the measures were geared towards China. How do you see the effectiveness of this antidumping for galvanized products and cold rolling mill. Marcelo, can we see volume be redirected by Vietnam, how to see this triangulation risk? And he wants to know if these measures are sufficient to see sound margins in the sector once again. What do we need in order to have a profitable industry structurally?
Miguel Angel Camejo: Well, the first step -- well, there -- what was published yesterday is important to correct the distortions created by this unfair competition. There are risk because we still have a structural proper because there are surplus in global steel because of the Chinese production. Production last year in China was above 130 million tons. So this created negative impacts in different markets. And obviously, as we presented here in Brazil, we were one of the markets that was most impacted by these imports. Now we have to continue observing. We're working together with government agencies because we don't want the risks to impact us during the upcoming months. When you analyze the antidumping measures for cold rolling mill at the worldwide level, you can apply today for -- there are 40 cases. Out of the 40, 12 are against China and the second, third country, with the greatest amount of cases is Vietnam and Korea. There is a risk. We have to continue monitoring. We are working together with the agency in order to avoid these future risks, and we trust that the government as of yesterday's definition can see the critical situation of the industry and the worldwide steel industry.
Leonardo Karam: Thank you, Miguel. Yes, there are more add-ons here. Marcio Farid from Goldman Sachs, Gabriel Barra from Citi, Caio Ribeiro from Bank of America, Marcelo [indiscernible], BTG, [indiscernible] from JPMorgan and Ricardo Monegaglia Safra, everybody wants to know about the next steps. What is the main strategy after tariffs and antidumping? Is it volume or prices? Which effects can we expect throughout 2026 due to these measures? And if Usiminas will be more proactive in price transferring this year. I want to see if there is a different add-on here. And Ricardo wants to know with the combination of increase of 25 [indiscernible] antidumping, how can they affect the discussions in price? If there is an impact in the number of orders when you see these changes. Miguel, you have the floor.
Miguel Angel Camejo: Many questions. Let's see if I can answer all of these questions here in my answer. By the -- let's start with the market. We expect a market in 2026 with the growth of consumption of flat steel of around 1%, highly aligned with the expectation of the GDP growth. If we see a similar market, '25, '26, we analyze the total volume of imports of flat steel in 2025 was around 4 million tons and around 60%, 65% comes from China. Therefore, we could conclude that we do have important space to resume our participation in domestic market in the consumption of flat steels in Brazil. Now within this scenario, we would have greater market share, potential increase in internal sales and better mix of product sales when we compare it to export. Now when we see the price, for instance, we see a strong pressure in terms of revenue because of the high imports and unfair competition, which affected our prices and profit. We have to become profit again to face the needs of technology and the face of investments that we have in CapEx plan. We can resume our profit if we have better prices and margins during the upcoming months.
Leonardo Karam: Now Daniel Sensel-Schechner from JPMorgan and Ricardo Monegaglia from Safra. We know the great part of the volume of galvanized products goes to the automobile industry that is not exposed to export. Will you change your negotiations with the automobile industry in April? Do you believe that the contracts that will be signed in the upcoming months will be readjusted? Will they be affected by these antidumping measures?
Miguel Angel Camejo: I would like to clarify around 60 of coated products are for the automobile industry. As you know, they follow yearly contracts. Part of these contracts are renewed in January. The other part are renewed in April. The contracts that were renewed in January have a cost reduction of 2%, 3%. And we already explained in other calls, the negotiations of the auto industries are not impacted by these imports. They're very little impacted by the imports because this is flat steel. So we don't expect any impact in the negotiations that will take place in the contracts that will be renewed in April. The expectation is to close these contracts at similar levels from January. The contracts of January represent 25% of our total revenue for our industry.
Leonardo Karam: Thank you, Miguel. More about this subject. Ricardo Monegaglia wants to know how many measures to normalize the inventories in the industry for imports post tariffs?
Miguel Angel Camejo: This is an important point. As a matter of fact, the strong increase of imports throughout the year elevated the inventories of the importers. Now the chain according to the last in the report, the inventories for the chain increased and today would be around 4 months. Our view is that the inventories for the importers are above 6 months. Now the regularization will take some time, will depend the dynamic of the consumption, but it's important to understand that great part of these inventories are characterized by commercial products with no added value. And in our focus during the past year is greater share in greater added value products, especially geared towards the industry. We could see a gradual resumption for more commercial products and obviously, with very little impacts for the industrial sectors or the auto industry.
Leonardo Karam: Miguel, still the import costs, is there a space to request to the government increase of the tariff to 25 for more NCNs?
Miguel Angel Camejo: Well, we are optimistic and we are positive the increase of 9 [ CMS ] for our sectors done by the government. The government is seeing different tools to mitigate the impacts of a loyal competition in all industry. I would not discard the use of these tools in the future to minimize the risks and the impacts, especially when we talk about triangulation or circumvention back from other origins.
Leonardo Karam: Igor Guedes from Genial. We would like to have an idea how -- what about your cold rolling mill? How much does this account in your sales? Now cold rolling mills in the domestic market, yes, it accounts for what kind of share?
Unknown Executive: Igor, our cold rolling mills would be around the cold rolling 1 million. Now of course, the import and the loss of share in local steel mills have reduced this volume. It is important to clarify that we have the capacity to increase the production of cold rolling in order to rectify this problem that we had due to unloyal competition.
Leonardo Karam: Marcelo. Here, the focus would be more on the operation. Igor Guedes from Genial wants to know, do you expect these antidumping measures to improve the domestic demand at a point that you will reactivate the blast furnace that is closed? Would you turn on this disconnected blast furnace?
Marcelo Chara: Igor, excellent question. I can make a comment here regarding the productive structure of our blast furnaces in Ipatinga. We invested BRL 2.7 billion in blast furnace 3. With this retrofit and all the ramp-up process, in addition to we are ending on the PCI powder coal injection that goes through the upper side of blast furnace 3, and we will be able to inject all the furnace systems. All of these measures have allowed us today to be able to replace one of the blast furnaces operating with blast furnace 3 that has over 3,000 cubic meters and [ 2,800 ] cubic meters. Today, the capacity is to have productions that are equivalent to the 3 blast furnaces. So yes, we can supply and increase our steel capacity. Yes, we do have capacity. We are regulating the production capacity according to market conditions, and we are prepared to use a virtual blast furnace 1 with the new performance that we achieved with the new blast furnace 3 that was developed.
Leonardo Karam: Marcelo, now a question from Guilherme [indiscernible]. Regarding MUSA, if you could better quantify the drop of volumes for 2026 and the volumes expected for 2026.
Marcelo Chara: Now the first quarter is highly associated to the seasonality of rainy season. This year, rains are intense and this affects logistic mines. And this is aligned and what we expect for the year is a full alignment according to iron -- or indicators we have developed, an operation system that is extremely flexible, which allows us to define routes of operation at marginal costs, which are properly identified in such a way if we see price conditions that favor of full sales, we will use this. And this is something that we will monitor throughout the year. We will monitor this evolution, and we will adapt our production to this market dynamic.
Leonardo Karam: Thank you, Marcelo. Diego, regarding capital allocation, Daniel Sensel-Schechner from JPMorgan asked a question. You have net cash. What is your capital allocation from here on? Is there a space to improve the balance structure? Is there space for more investments?
Diego Garcia: Thank you for your question. Now regarding capital allocation, we have already carried out a CapEx guidance of BRL 1.6 billion, which is significant. We have other CapEx that have been approved.
Leonardo Karam: Marcelo, I don't know if you would like to give us information regarding Compactos, but there is not much more to mention.
Marcelo Chara: As Diego just stated, now we ended the investment cycle connected to blast furnace and auxiliary circuits. Today, we have a major product that was approved, that was the Coke battery #4 of BRL 1.7 billion that will give us self-sufficiency in Coke during the upcoming 3 years. And at the end of this project together with the hot repair that we're performing a battery 3 that is working exceptionally with excellent impact in emissions reduction. Let's say, we have a clear measure of emissions, very low -- at a record low in the history of Usiminas, and I can convey that our focus on the environmental performance has gone hand-in-hand with priority management, and we have capitalized these investments to make our industrial -- environmental more robust. We have the PCI project, powder coal injection. We're ending it during the first semester, as I mentioned. We have the new Gasometer. This CapEx of BRL 1.6 billion is totally aligned to our strategy to improve cost competitiveness and environmental performance. And in terms of Compactos, I mentioned at the beginning, the intention is to continue with the environmental licensing and throughout 2026. And at the end, we will see how to give continuity. As I mentioned in the beginning, we have a clear view that MUSA is a strategic asset for us, and we can see how we can continue the operation in the long run.
Leonardo Karam: Thank you, Marcelo. You answered the next question from Rafael Barcellos of Bradesco about the guidance and to talk about the CapEx of 2026, Diego, regarding cash flows, Guilherme [indiscernible], XP, Rafael Barcellos wants to know the free cash flow was strong during the quarter with the lender of accounts receivable and working capital help us. What can we expect from here on? Is there a space for improvement that comes from these lines? And Rafael says, how should we think about the working capital during 2026?
Diego Garcia: I think that we reached the level of working capital that will be stable and in the future will be changed because of the effect of prices and volumes. But it is not reasonable to think a new year with the release of working capital like we saw in 2025.
Leonardo Karam: Thank you, Diego. Marcelo, regarding the product structure, Carlos De Alba from Morgan Stanley wants to know due to the footprint of Turn in the Americas, does Usiminas want to invest in an electric furnace in Brazil like in Cubat�o?
Marcelo Chara: Well, let's say. As I said -- well, the upstream was disconnected years ago, but there's a downstream that is exception now the hot rolling mills of Cubat�o is one of the most modern from the America, it has over 10 years of operation, but it is at a state of maintenance and the technological update. Well, this is an interesting asset to maximize and to meet the demand of all the domestic market in all segments, industrial oil and gas, well, an electric furnace would mean we have to justify this clearly in terms of volume growth. This will depend on market conditions and the evolution. According to the current situation with the strong impact of imports and the low consumption of steel in Brazil, this is still not in our radar in the short or mid-run. Yes. Well, this is a plant that has an interesting profile in its structure because it has an area of a steel mill -- has the steel area that is perfectly conserved, and it can be activated if it's convenient. But this is not something that we have in our radar in the short or mid-run.
Leonardo Karam: Thank you, Marcelo. Miguel, Some questions regarding negotiations with the auto industry. How were the negotiations with the auto industry in January 2026? And what do you expect in April? And when will you review these contracts?
Miguel Angel Camejo: Guilherme [indiscernible], as we mentioned, the auto contracts that were renovated in January had a 2%, 3% discount. I would like to remind you that these contracts account for 25% of the total sales to the auto industry. Now the contracts that are renewed in April that are under negotiation, the expectation is to close at similar levels to that of January, most of these contracts are signed on a yearly basis. Some of them are reviewed every 6 months.
Leonardo Karam: Thank you, Miguel. Miguel, regarding prices, Guilherme [indiscernible] Goldman, Rafael Barcellos, Bradesco, how do you see the domestic performance of prices throughout the first quarter? And what do you expect in terms of the sales mix, if you can tell us how this will work between industry sector. Now Emerson says that the price of Q4 was affected by the mix change. Can we already see this in January or February or the expectation of normalization is for March and Rafael wants to better understand the magnitude of the average price.
Miguel Angel Camejo: We increased prices for distribution sector in January by 5%. For industry, most of the contracts were renewed as of January following the trend of the price increase that comes from Q4. All these contracts are delayed in 3 months in the auto industry, as I mentioned, there is a discount of 2%, 3% for a very small part of these contracts that were renovated in January. Now regarding the mix, we expect our sales mix to normalize in the domestic market during Q4. Going back to a sales mix, which was historic in Usiminas that we can classify as 1/3 of sales for the auto industry, 1/3 for distribution and the other 1/3 for the industry. I think that this gives -- this is the color regarding the expectation of this first quarter. Now you spoke about normalization as of January or March. I think that most of the auto industries came back from the holiday vacations after the first fortnight of January. So after the first 15 days, we can see the normalization of the sales mix here.
Leonardo Karam: Diego, now we have questions regarding costs, Diego. I'm going to try to bundle them. Guilherme from XP and Emerson Viera from Goldman Sachs want to know the following, can you give us more visibility regarding cost improvement visibility due to efficiency in order to capture this in the upcoming quarter? And how do you see the evolution of cost during Q1? And Emerson basically says, what can you say about space for continuous gain of efficiency in costs?
Diego Garcia: Now regarding the next quarter, as Miguel mentioned, with the normalization of the sales mix, we will have -- we will increase cost because we are selling material of greater value. This will be more than offset by the revenue per ton. This is why we have a favorable outlook for the next quarter.
Leonardo Karam: Now regarding efficiency gains, this is one of our continuous targets. I don't know, Marcelo, if you would like to say something.
Marcelo Chara: I would -- as Diego mentioned, our main focus is the improvement of efficiency, especially in industrial processes throughout the semester. We already system -- the coal injection system for the blast furnace and progressively, we will replace an important part of coal consumption by coal. And this generates important efficiencies and cost reduction. Throughout 2026, we will continue consolidating these type of projects that allow us to improve our sales cost in a systematic fashion. We are more robust in terms of profitability.
Leonardo Karam: With this, we also answered [indiscernible] question. That was price. Now Diego still on costs. Rafael Barcellos from Bradesco BBI and [indiscernible] just want to know how the recent increase of coal prices will affect cost. The drop of COGS that was stronger than we expected some inputs that went through the PML bought in the past at a lower cost, the coal price increase, how do you see the cost from here on? How long does this last? How long does the price transference last?
Diego Garcia: For the next quarter, we do not see these effects. The effects of the increase of coal prices, we will feel this, especially during the second quarter. There are -- well, this will not have an effect during Q1 and probably during -- yes, during Q2.
Leonardo Karam: Diego, still for you. A question from an individual [indiscernible], I don't know. I cannot -- the payout to shareholders, is there any forecast of payouts for shareholders?
Diego Garcia: Last year, we had an important loss because of the impairment. And because of this, we did not -- for the time being, we are not thinking about paying dividends regarding last year again because accrued profit, but we will always assess the situation of the company. And one of our targets is to continue paying our shareholders end to end.
Leonardo Karam: We have a question from Gabriel Barra from Citi. He wants to know the transition of the position of CFO. If there will be an important change in focus, could you talk about your priorities at the short run and the long run for this new position, Diego, we will finish with this.
Diego Garcia: Thank you, Gabriel. The transition is okay. I found a financial team that is spectacular, and they are helping this transition to be swift, organized, and I would like to thank everyone. Now regarding focus, well, I believe due to the challenging environment of the industry, it is important to control -- to have control in cost and cost efficiency, and we need discipline in our CapEx as well, and we will be focused on this.
Leonardo Karam: With this, we ended our Q&A session. We would like to thank everyone for your participation. And should you have any doubts, our IR team is at your disposal. Thank you very much, and have a good afternoon.